Operator: [Audio Gap] to the Methode Electronics Fiscal 2011 Fourth Quarter and Full Year Earnings Presentation. [Operator Instructions] As a reminder, this conference is being recorded. This conference call does contain certain forward-looking statements, which reflects management's expectations regarding future events and operating performances, and speak only as of the date hereof. These forward-looking statements are subject to the Safe Harbor protection provided under the securities laws. Methode undertakes no duty to update any forward-looking statements to conform the statements to actual results or changes in Methode's expectations on a quarterly basis or otherwise. The forward-looking statements in this conference call involve a number of risks and uncertainties. The factors that could cause actual results to differ materially from our expectations are detailed in Methode's filings with the Securities and Exchange Commission, such as our annual and quarterly report. Such factors may include, without limitations: dependence on a small number of large customers, including 2 large Automotive customers; dependence on the automotive, appliance, computer and communications industries; further downturns in the automotive industry or the bankruptcy of certain Automotive customers; ability to compete effectively; customary risks related to conducting global operations; dependence on the availability and price of raw materials; dependence on our supply chain, ability to keep pace with rapid technological changes; ability to avoid design or manufacturing defects; ability to protect our intellectual property; ability to withstand price pressure; location of a significant amount of cash outside of the U.S.; currency fluctuations; ability to successfully benefit from acquisitions and divestitures; ability to withstand business interruptions; unfavorable tax laws; ability to implement and profit from newly acquired technology; and the future trading price of our stock. It is now my pleasure to introduce your host, Don Duda, President and Chief Executive Officer for Methode Electronics. Mr. Duda, you may begin.
Donald Duda: Thank you, Diego, and good morning, everyone. Thank you for joining us today for our Fiscal 2011 Fourth Quarter and Full Year Financial Results Conference Call. I'm joined today by Doug Koman, Chief Financial Officer; and Ron Tsoumas, Controller. Both Doug and I have comments today, and afterwards, we will be pleased to take your questions. Our strong sales performance in the fourth quarter and fiscal year 2011 demonstrates the continuing success of our strategy to offer customers system solutions with brand-differentiating technology. With over 23% sales growth for the quarter, we continue the momentum we established last year, ending with over 13% sales growth for the year. Adjusting the fiscal 2011 results for the loss of sales to Delphi and planned lower sales of legacy automotive products, which together totaled $32.3 million in fiscal 2010, consolidated sales in fiscal 2011 increased 24%. A key point is that in just one short year, we have rebuilt Methode's revenue from a 7-year low of $378 million in fiscal 2010 despite the reduction of legacy automotive products and the loss of the Delphi business, an accomplishment all Methode employees should be very proud of. As we reported in this morning's release, in March, we sold Methode's 75% ownership in Optokon, a fiber-optic interconnect company in the Czech Republic to the minority shareholder for $10 million resulting in a gain net of taxes of $0.6 million or $0.02 per share. Additionally, we had a number of expenses and benefits in the fourth quarter and year, which Doug will expand upon in his discussion. For the fourth quarter, consolidated gross margins were 21.7% compared to 23.3% a year ago. And for the year consolidated gross margins were 20.8% compared to 21.2% in fiscal 2010. In both periods of 2011, vendor production and delivery issues, as well as higher designing, developing and engineering costs to support production -- to support products expected to launch in fiscal 2013, negatively impacted results. Additionally, full year gross margin were negatively affected by the loss of the Delphi business, which was a higher-margin business line for us. We are taking steps to rectify our vendor production and delivery issues. Specifically, these issues relate to an intricate paint process for automotive center consoles. Although we put in place a number of fixes and process improvements at the suppliers between the third and fourth quarters, as I said, these parts are particularly complex. As such, we are not going to receive consistent automotive quality from any supplier, at least not in high volumes. For that reason, we have decided to vertically integrate a portion of these processes. That being said, this is vertical integration we have planned to make prior to launching the GM consoles expected to launch in fiscal 2013 but have decided to implement sooner based on the issues we are currently having, which we anticipate will have a $1.5 million to $2.5 million effect on Methode's fiscal 2012 income. It's our intent to have our in-house capabilities online as we enter fiscal 2013. Capital cost to vertically integrate the paint processes are likely to be $10 million to $15 million, depending on how much qualified used equipment is available. That estimate is still preliminary. Moving now to segment results. In the fourth quarter, Automotive segment net sales increased over 38% due to higher sales in our transmission lead frame and steering angle sensor products, as well as from the MyFord Touch center console program. Sales in Asia grew 44%. In North America, sales grew 160%. But bear in mind, that business was down to very little due to the exit of legacy automotive products in North America and the loss of the Delphi business. For the year, Automotive segment sales increased 11%, but were negatively impacted by the loss of sales to Delphi and the planned lower sales of legacy Automotive products. If we take out these 2 items, Automotive segment sales increased over 32% in fiscal 2011 compared to 2010. Automotive segment gross margins decreased in the fourth quarter, impacted by the vendor issue I discussed and costs related to the launch of a large automotive program. For the year, gross margins fell slightly, impacted by the loss of the higher-margin Delphi business and the aforementioned costs. Moving on to Interconnect. Sales decreased 2% in the fourth quarter compared to last year, attributable mainly to lower appliance sales in North America, which affected our TouchSensor business as well as the sale of Optokon. These lower sales were partially offset by increased sales of data and safety remote control products compared to the fourth quarter of fiscal 2010. For the year, Interconnect sales improved nearly 12% due to strong sales in North America and Europe, again from increased sales of data and safety remote control products. In Asia, Interconnect sales were down year-over-year due to the planned exit of the legacy business. We anticipate reduced appliance sales will continue into fiscal 2012. Despite lower business, Interconnect's margins in the fourth quarter and full year are at the high end of our target for this business segment due primarily to a favorable sales mix. Our Power Products segment also had strong sales, up 35% in the fourth quarter and 24% for the year as certain awards we received in fiscal 2009 have moved through the design and testing stages and have commenced production. In the fourth quarter and full year, higher busbar, flexible cabling and heat sink products drove the improvement in sales. Power product gross margins decreased in the fourth quarter and year, mainly due to product development costs for the onboard integrated power unit award that we discussed last quarter. As a reminder, this power unit for a pure electric commercial truck being launched by a domestic OEM, contains a 10-kilowatt charger, an auxiliary 14-volt power supply and the associated vehicle interface controller and is based on Eetrex's power electronics technology. Excluding the product development costs, Power Product gross margins were almost 26% for the fourth quarter and 25% for the year. On to new business wins. In the fourth quarter, we were awarded 3 unique busbar sub-assemblies to be used to interconnect lithium-ion battery cells to form a battery module with a number of modules making up the battery pack. This application, developed by a major Japanese OEM, will be used on an electric vehicle to be sold in North America and Europe. The product will launch in fiscal 2013 with approximately $4 million in revenue and ramp to approximately $11 million per year in fiscal 2014 with an expected program life of 6 years. We may see greater fluctuations in the projected revenue than with a typical Automotive program due to some expected volatility on electric vehicle demand. However, as this product will be utilized on a common battery pack, it is likely to be specified for other vehicle platforms by this OEM. Ford Motor Company issued a press release at the beginning of June, which discussed the expansion of their fuel-efficient powertrains. In its release, Ford refers to their new 8-speed automatic transmission, which will feature an input torque sensor that enables faster selection of the proper gear. This sensor is Methode's torque sensor, which we have discussed in previous calls. You may recall, this torque sensor utilizes magneto-elastic technology, a patent attempting technology, which allows a significant advancement in powertrain controls, improving shift quality and reliability. Rugged and reliable, Methode's torque sensor is designed to operate in the harsh environment of the transmission. We are honored to have been included in the development of Ford's advanced technologies. Also, a recent article in Popular Mechanics refers to the torque sensor as an impressive feature, again, referring to Ford's new 8-speed automatic transmissions. The article calls the ability to measure true torque the holy grail of transmission control. We will post a link to the Popular Mechanics article on our website. All in all, we had an impressive year of bookings in fiscal 2011, and I want to take this opportunity to thank the Methode team. Our overall outlook is cautiously optimistic. Although our European businesses may experience some softness, we expect our North American Automotive production and Power Products Sales to continue to improve in fiscal 2012 and '13 as programs are launched. Through activities initiated in prior years, we've been able to reduce our cost structure, which we again expect to result in improved operating margins, as sales increase and the new business awards I have discussed in previous calls launch in fiscal 2012, '13 and '14. As I mentioned, we do expect to carry higher designing, development and engineering costs in fiscal 2012 to support products scheduled to launch. We anticipate these expenses to be in the range of $2.5 million to $2.8 million. As a company, we are committed to developing new product solutions for our customers and to making strategic capital investments as we pursue our growth strategy. In summary, in this uncertain economy, Methode remains focused on the proven strategies that have enabled us to address these economic headwinds and grow the company. Now I will turn the call over to Doug, who'll provide further details regarding our financial results. Doug?
Douglas Koman: Thank you, Don. Good morning, everyone. Before I cover some of the more significant expense and benefit items that affected cost of products sold and selling and administrative in the quarter and the full year, let me walk you through the non-GAAP adjustments that we included in our earnings release. For the fourth quarter, we reported net income attributable to Methode of $10.1 million or $0.26 per share. This compares to a net income attributable to Methode of $16.1 million or $0.44 per share in last year's quarter. In the fourth quarter of fiscal 2011, we recorded a gain on the sale of discontinued operations of $600,000 or $0.02 per share. That was the sale of our 75% interest in Optokon that Don just talked about a little while ago. Because of the GAAP intra-period tax allocation rules, continuing operations benefited by the taxes allocated to the Optokon sale. Therefore if the Optokon sale is excluded from the quarterly results, the $3.5 million tax benefit to continuing operations must also be excluded. This results in $6 million or $0.16 per share of net income to the quarter, when the Optokon sale is excluded. In last year's fourth quarter results, if we exclude the $300,000 of restructuring charges, the net income attributable to Methode would have been $16.4 million or $0.45 per share. Therefore, net income from continuing operations was $6 million this quarter compared to $16.4 million in last year's quarter or $0.16 earnings per share this quarter versus $0.45 per share last year. You should note that in both this and last year's fourth quarters, we recorded income tax benefits. Excluding the sale of Optokon, the benefit in the fourth quarter of fiscal 2010 was $8 million or $0.22 per share greater than the current quarter. For the fiscal year, we reported net income attributable to Methode of $19.5 million or $0.52 per share. This compares to a net income attributable to Methode of $13.7 million or $0.37 per share last fiscal year. Excluding the $2.1 million expense for the Blue Angel settlement, the negotiated program termination charge of $1.3 million recorded in the second quarter, the $600,000 net gain and the $3.5 million intra-period allocation benefit from the sale of Optokon, the current fiscal year net income attributable to Methode would be $18.7 million or $0.49 per share. If last year's results excluded the negative effect of $7.8 million of restructuring charges and the favorable effect of reversing a $1.7 million onetime pricing accrual, last fiscal year's net income would have been $17.8 million or $0.48 per share. Therefore, on a non-GAAP basis, net income attributable to Methode was $18.7 million in the current fiscal year compared to $17.8 million last year or $0.49 per share this year versus $0.48 per share last year. Moving to cost of products sold. In the current quarter, cost of products sold as a percent of sales was 78.3% compared to 76.7% last year. The comparison would have been better except for a few unusual items. In the current quarter, we had vendor supply issues and the new product launch of $300,000. We also had $700,000 in incrementally higher costs related to design and development costs for the GM center stack program. For the fiscal year, cost of products sold as a percentage of sales was 79.2% compared to 78.8% last year. As with the fourth quarter, the comparisons would have been better except for the vendor supply issues on the new product launch of $2.3 million, a negotiated program cancellation charge of $1.3 million that occurred in the second quarter, the $1.2 million incrementally higher costs related to the General Motors center stack program and also a customer cancellation charge of $400,000 in the Power Products segment that occurred earlier in the year. Moving to selling and administrative. In the current quarter, selling and administrative as a percentage of sales was 16.8% compared to 15.9% last year. This quarter's selling and administrative expense included about $1 million higher stock award amortization, partially offset by lower Delphi legal expense of about $300,000. In the fiscal year, selling and administrative as a percent of sales was 16.5% both this year and last year. If the Blue Angel settlement of $2.1 million was excluded, selling and administrative as a percent of sales would have been 16% this year, which is below last year's 16.5%. This year -- this fiscal year's selling and administrative expense also included $2.1 million higher stock award amortization, partially offset by lower Delphi legal expense of about $1.1 million. Again, as I mentioned last quarter on the stock award amortization, that we expect the charge to be in the range of $800,000 to $900,000 per quarter. The reason for that is the prior year's expense had very little stock award amortization because of the cancellation of several of the agreements due to the impact of the prior restructuring and impairment charges taken in prior years. Just finally on operating cash, during the fiscal year, we generated $17 million of cash from operating activities. This was about $10.3 million less than last year, and it included a $13.1 million federal tax refund for net operating loss carryback that was received in the third quarter. This refund offset an increase in working capital that primarily resulted from the increased sales activities. And additionally, in order to protect the supply chain, we are also carrying a higher inventory for certain components that have been in short supply. Don, that concludes my remarks.
Donald Duda: Thank you very much, Doug. Diego, we are ready to take questions.
Operator: [Operator Instructions] Our first question comes from David Leiker with Robert W. Baird.
Joseph Vruwink - Robert W. Baird & Co. Incorporated: It's Joe Vruwink on for David. A question on engineering as we go forward. If I look at just SG&A the past few quarters and I strip out what the Delphi legal fees were, it looks like expenses have been between, call it, 15.5%, 16% of revenue. I'm just wondering, going forward, is this a good base that is sustainable given the engineers that you've brought on? Or should we expect higher levels going forward?
Douglas Koman: First of all, the engineering expense that Don was talking about, Joe, are going to be in cost of products sold. So the additional expense in selling and administrative is primarily coming from the increased stock amortization.
Joseph Vruwink - Robert W. Baird & Co. Incorporated: Okay, and there's no product launch costs that are going to hit SG&A?
Douglas Koman: No, there shouldn't be. It should all be up in cost of goods sold.
Joseph Vruwink - Robert W. Baird & Co. Incorporated: Okay, great. And then as we look at the pace of that ramp, have you brought on basically the human assets that you need where, going forward, we shouldn't expect that much deviation from what we are seeing now? Or what are the magnitude of costs we should expect in upcoming quarters during this fiscal year?
Donald Duda: We probably have seen the bulk of that. I wouldn't rule out that we wouldn't add a few more heads as the launch progresses, particularly as we get closer to launch. But I think the estimate we gave, we gave a range for the year, in the $2.5 million to $2.8 million, I believe.
Joseph Vruwink - Robert W. Baird & Co. Incorporated: Okay, great, that's helpful. If I switch over to a piece of new business you announced this quarter with the lithium-ion battery, that seems like an exciting product category that we haven't really heard you guys talk about that much in the past. It seems like this technology is also transferable to other battery applications. Are you in discussions with other OEMs about doing a similar product where you're able to leverage the R&D investments you've made to win this award on potential future awards?
Donald Duda: Yes, we've been talking to a number of them. This is the first, I think, major award; we've gotten a few prototypes that we've done. What's driving that is Methode's in somewhat of a unique position in that we've been in power products for quite some time, and we are a seasoned automotive supplier. So as the automakers and the Tier 1s look for qualified suppliers, we're a qualified supplier in both instances, and that gives us a little bit of a leg up in pursuing that business. And we're starting to see, as these vehicles come online, we're starting to see that market heat up.
Joseph Vruwink - Robert W. Baird & Co. Incorporated: And this is exclusively developed -- I should say internally developed IT or is this anything that may have come from Eetrex?
Douglas Koman: Well, in the award we just announced, that is a homegrown Methode technology. And it's like a typical automotive program, where it's -- the actual design is done between Methode and the customer. The charger is Eetrex's, but this particular award is Methode technology.
Joseph Vruwink - Robert W. Baird & Co. Incorporated: Great, and then just one final question. There's been a little bit of negative publicity in regards to the MyFord Touch product itself and the basic interface, I guess. Have you -- has there been any changes on Ford's part of maybe wishing to alter some of the aspects of the console system itself? And how is what GM is designing changed by some of these early kind of press reviews and consumer reviews of the product?
Donald Duda: Okay, on the Ford product, no, we've not been asked to make any changes to the product. From our standpoint, the product is still selling above our expectations. And I can't speak for Ford, but I think they've been happy with the sales as well. And that article now is, what, several months old. And then the GM launch, there's very little touch cells on that, so -- and I can't go too much detail because we're -- GM hasn't announced platforms and so on. But there's very little Touch on the GM program right now. I suppose that could change. Yes. And that criticism seems to be more focused to the software, the sync, not to our Touch.
Douglas Koman: Yes, good point. I mean we provide the center console, not the interface -- or the software rather.
Operator: Our next question comes from Jeremy Hellman with Divine Capital Markets.
Jeremy Hellman - Singular Research: I wanted to take the last question and kind of -- as kind of a framing basis. And if I think at a really high level, is there a way to kind of quantify the amount of product that you could supply to an all-electric vehicle versus an internal combustion-engine vehicle versus a hybrid and/or something that's using stop/start? Or maybe if you can't quantify, can you rank those from 1 to 4, which ones would offer the most penetration potential, if you want to call it that, for Methode products?
Douglas Koman: Okay. The pure electric is going to have the highest content, if you really talk dollar content, because an onboard charger is several thousand dollars. I mean in low volume, it's $15,000, $20,000, but -- so that would probably be ranked #1. You would also -- you could also put our busbar technology, I just talked about, on the battery pack. Eetrex is developing battery management systems, so there's some more technology there. We certainly could do the -- and we have a product coming out on -- the charging station. So that would be my highest. The hybrid, you might get into busbars again, probably or maybe a battery disconnect or something that Eetrex would do. And then you were talking about -- I'm assuming your question's talking about not switches and so on, you're talking about power components. Is that correct, Jeremy?
Jeremy Hellman - Singular Research: Well, I'm really talking full boat, everything you could potentially sell, whether or not you're in there selling something or not, but the "addressable market" per vehicle.
Douglas Koman: Oh, boy.
Jeremy Hellman - Singular Research: I mean what I'm trying to get to is, and obviously we're in the early stages of the EV evolution. But if we look out 5, 10 years and if EV adoption rates do progress nicely and EVs become a significant component of the vehicle fleet, at the end of the day, does that -- what I'm thinking and it sounds like you're confirming this is that your dollar sales per vehicle should certainly have an upward bias.
Donald Duda: Oh, yes, I would agree with that. But even on a conventional vehicle, we've got our central console products, you've got our torque sensor product, steering angle sensor, lead frames that are in the transmission. So that content will also go up.
Jeremy Hellman - Singular Research: Right, okay. And when you think about the design cycle for autos and considering that this is a multiyear process, when you look at potential business that you might be pursuing for the '14, '15, '16-type years, are you seeing any kind of gravitation to a heavier EV component or proportion?
Donald Duda: No, I don't think -- it's going to be a small percentage even as you get into '15, '16, '17. I mean as we said before, we're done booking for '14. We're booking for '15 and beyond now. And I don't know what the estimates, the market estimates are for EVs, but they're still a small portion as we get into the latter years here.
Jeremy Hellman - Singular Research: Okay. And then with stop/start, that seems to be more the immediate sweet spot because it doesn't really have a big impact at all on the actual consumer behavior, so to speak. It's under the hood and out of sight. With stop/start, how much of an opportunity is that for you guys, even if you have vehicles where you have kind of a dual-battery system?
Douglas Koman: Again, just in the power components, at this point, we don't have anything booked in start/stop.
Jeremy Hellman - Singular Research: Okay. I'll go for something a little more germane now. Back to the non-GAAP reconciliation, Doug, okay, I just wanted to run through that again, the notes I -- wanted to make sure I have my notes correct. From your headline number of $0.26 to adjust down to the $0.16 non-GAAP number, I'm missing something. Is that a negative $0.02 from the sale of Optokon and then a negative $0.16 to the tax effect? So that would get me down $0.26 minus $0.02 minus $0.16 would get me down to $0.08. So what am I missing there?
Douglas Koman: No, there's $0.11 because what you've got is the tax credit of $3.5 million that's in the continuing operations, so that large income tax credit that is there. Then that's offset by the gain.
Jeremy Hellman - Singular Research: Okay. I'll work through the numbers and if it isn't clear, I'll follow up with you offline then.
Douglas Koman: Okay, that should work out.
Operator: [Operator Instructions] Our next question comes from Greg Macosko with Lord Abbett.
Gregory Macosko - Lord Abbott: Can we go through just a little bit on the gross margin to understand the adjustment relative to the growth in the Auto and the Power area? Auto was up 38% year-over-year. And you mentioned the vendor supply issue of $2.3 million. That was for the entire year or is there an adjustment there just for the quarter?
Douglas Koman: No, there was -- the $2.3 million was for the full year and then there was $300,000 in the quarter. And going forward, we're saying that could have a $1.5 million to $2.5 million effect full year fiscal '12.
Gregory Macosko - Lord Abbott: That is -- is that relative to the GM launch? Well, that's relative to the GM launch because you want to get yourself internally, supplying the product internally.
Donald Duda: Right, that is -- the current issue is with the MyFord Touch panels that we're providing. We -- at the time that we booked that Ford business, in late '08, I think, Automotive was in free fall. So we didn't vertically integrate at the time. When we were pursuing the GM business, before we even booked it, we knew that we would probably vertically integrate that. There's pretty good savings in doing it. All we're doing now is really accelerating that because of the supply issues.
Gregory Macosko - Lord Abbott: I see.
Donald Duda: But that's a 9- to 12-month process, so that's why we're saying we'll enter fiscal '13 with that integrated.
Gregory Macosko - Lord Abbott: Okay. And what other adjustments are there? There was some new launch costs. You said higher manufacturing costs, and I assume those are ongoing or are they -- is the launch making, kind of, a ramp-up of the launch kind of raising the cost that as you get more comfortable with the volumes on the launch will be -- the margins should be better?
Douglas Koman: I think what we said was higher designing, development and engineering costs. I don't think we said manufacturing. No, the only manufacturing issues we've been discussing is the vendor supply that's causing us some issues.
Gregory Macosko - Lord Abbott: Okay, but those new development, new product development, that's really an SG&A line, isn't it?
Douglas Koman: No, we're showing those in cost of goods sold. That's -- we're developing a product that is booked, so those costs to get that business launched are in cost of goods sold. And, Greg, that's in the -- again looking at the full year, those costs are about $1.2 million for the year.
Gregory Macosko - Lord Abbott: All right. Well, you see what I'm asking, just trying to understand with such strong revenue on the top line and yes, adjusting for the vendor supply issue and the product development costs, are we looking at something around 16%? Does that make sense on an ongoing basis? Or do you expect that gross margin to improve in the Auto area?
Donald Duda: While Doug’s looking at that, the other point we made is that full year gross margins were negatively affected by the loss of the Delphi business.
Gregory Macosko - Lord Abbott: Yes. But in the quarter last year, did you have Delphi business last year in the fourth quarter?
Donald Duda: I don't believe so. No, we did not.
Douglas Koman: No, we did not
Gregory Macosko - Lord Abbott: Right, that's what I'm trying to get at is kind of the current comparison between the 2. You said Delphi, x Delphi for the whole year, I guess you were up 32%. So you had good solid growth of non-Delphi business. And are we kind of at a -- is this kind of the auto run rate now? Or what are we looking at?
Donald Duda: I think if I'm looking at my numbers right, we're at about 15 1/2% for the fourth quarter this year.
Douglas Koman: And I think we've said that we expect our gross margins in Automotive to improve. We know as we launch some of these programs, we'll get some very positive effect from that.
Gregory Macosko - Lord Abbott: And does that imply that -- continued strong sales growth?
Donald Duda: Right. And those are programs that really don't kick off until the latter part of '12 and '13.
Douglas Koman: And in '13, yes. I think we have -- we don't have them in front of us, but I think we've put out our ranges for Automotive gross margins.
Gregory Macosko - Lord Abbott: What is that again? Remind me, please.
Douglas Koman: I don't want to misquote, so I want to make sure we have the number. We're looking that up, and if we don't have it here, we'll get back to you on that.
Donald Duda: Yes. But my recollection was for Auto, I think we said high teens to low 20s for Automotive. We’ll take the risk of misquoting.
Gregory Macosko - Lord Abbott: Okay, very good. All right. And then the same on the Power. The Power is up 35%, you're just getting those new orders into production, that's up 35%. There was, what, about 200 basis points from that onboard integrated power unit in the electric truck being launched or whatever. But the gross margin comparison was quite a bit down. Is that a gross margin we should be looking at, at these sales levels at present?
Donald Duda: The Power gross margin was down because of the Eetrex.
Gregory Macosko - Lord Abbott: Was that the -- in other words, it was 22% versus 33%. It was a pretty big drop, and yet sales were up 35%, so I just want to understand the...
Douglas Koman: Right. We've got $600,000, $700,000 in launch costs for the charger unit. And that should be a, to some degree, a onetime event. It will continue into our fiscal '12 here. But once the product is developed, it's developed, and that won't be reoccurring. So what we've got is the cost to develop and launch the product and no sales right now. So as the product sells, the margins will certainly improve and our development costs will wind down.
Gregory Macosko - Lord Abbott: Okay. So I mean -- and if we look at the same basis on Power, what's your range of gross margin expectation on Power?
Douglas Koman: Let me get that to you, because we just don't have that investor presentation.
Gregory Macosko - Lord Abbott: All right. Basically, I was just looking at the change over that. And the $600,000 to $700,000 doesn't account for that 11% differential, right? It's more than that, I would -- that's bigger than the $600,000 to $700,000 doesn't account for the 1,100 basis points, right?
Donald Duda: Okay. We just brought up the, what we call our fiscal 2014 target. For Power, the gross margins are in the high 20s. Auto, we're saying low to mid-20s. Before you ask about Interconnect, low to mid-30s.
Gregory Macosko - Lord Abbott: Okay. Well, we're right there. We're pretty good as you've said.
Douglas Koman: Again, but that's our fiscal 2014 target.
Gregory Macosko - Lord Abbott: So we're going to -- those gross margins are going to stay where they are basically? I mean that's what -- you're already there, you're at 34%. You're pretty close to where you're...
Douglas Koman: Yes, and you have to -- it's affected quite a bit by mix. I mean, that’s…
Gregory Macosko - Lord Abbott: Okay, so the mix was favorable right now?
Douglas Koman: The mix on Interconnect was very favorable for us, so that gets to the high end of our range.
Gregory Macosko - Lord Abbott: Okay, all right, very good. I just want to keep up on kind of where we're headed and what our expectations are, particularly on the gross margin side, and that gives me some explanation. And the new wins do sound good.
Operator: Our next question comes from David Leiker with Robert W. Baird.
Joseph Vruwink - Robert W. Baird & Co. Incorporated: A quick follow-up from me. If I look at what you've done the past 4 quarters now, and I put in a normalized tax rate, you're pretty much ranging between $0.10 to $0.15 a share per quarter. Given that the stock seems pretty much stuck in a, call it, $0.10 to $0.14 range, I'm wondering what gets us above this, call it, $0.15 a share going forward? Or is that a level that you would expect to be maintained during this upcoming fiscal quarter, given that the significant new business doesn't launch till fiscal 2013, and you're going to have some costs, it sounds like, in fiscal 2012 associated with that business?
Donald Duda: Joe, it sounds like you're trying to get us to give you guidance. I don't know that we want to comment.
Joseph Vruwink - Robert W. Baird & Co. Incorporated: I wouldn't think of doing that.
Douglas Koman: I think we've laid out in our release and prepared comments that we have some costs that we are incurring to launch these new programs. And you know the automotive cycle, so we're really saying that these programs start to launch end of '12 and '13, and then from that, you probably can model where we're headed. I think to go any further, I'm getting into the guidance area and I just -- I'd like to stay away from that.
Operator: Ladies and gentlemen, there are no further questions at this time. I'll turn the conference back over to Mr. Duda to conclude. Thank you.
Donald Duda: Diego, thank you very much, and we'll thank everyone for listening today and wish them a very safe and pleasant holiday. Good day.